Operator: Welcome to the PBF Logistics' First Quarter 2015 Earnings Conference Call and Webcast. At this time, all participants have been placed in a listen-only mode, and the floor will be opened for your questions following management's prepared remarks. [Operator Instructions] It is now my pleasure to turn the floor over to Colin Murray, Investor Relations. Sir, you may begin.
Colin Murray: Thank you. Good morning everyone and welcome to PBF Logistics' first quarter 2015 earnings conference call. With me today are Tom Nimbley, our CEO; Todd O’Malley, our President, Erik Young, our CFO; and several other members of the Partnership's senior management team. If you’ve not received the earnings release and would like a copy, you can find one on our website at pbflogistics.com. Also attached to the earnings release are tables that provide additional financial information on our business. If you have any questions after reviewing these tables, please contact our Investor Relations teams after the call. I would also like to direct your attention to the forward-looking statements disclaimer contained in today's press release. In summary, it says that statements in the press release and on this conference call that states the partnerships' or management's expectations or predictions of the future, are forward-looking statements intended to be covered by the Safe Harbor provisions under federal securities laws. There are many factors that could cause actual results to differ from our expectations, including those we described in our filings with the SEC. Now I’ll turn over the call over to Todd O’Malley.
Todd O’Malley: Thank you, Colin. Good morning everyone and thank you for joining us on today's call. After my opening remarks, Erik Young will review our first quarter results in more detail and then we will open up the call for questions. Today we announced an increase in our quarterly distribution to $0.35 per unit, which is an increase of roughly 6% over our Q4 2014 distribution. This is an almost 17% increase versus the minimum quarterly distribution, we announced in our S-1 prior to the public offering. Our distribution increase reflects the continued growth in the earnings base of our operations and it’s supported by our first quarter full-quarter of operations of the Toledo Storage Facility after its acquisition in the fourth quarter of last year. In the 10 months since the IPO, we've added the Delaware City West Rack and the Toledo Storage Facility to PBF Logistics asset base. And I’m pleased to announce that the Partnership’s Conflicts Committee is currently reviewing a differential transaction in which we would acquire the Delaware City products pipeline and the Delaware City Truck Rack which are located at PBF Energy's Delaware City Refinery. These assets are two important refined product distribution facilities for the Mid Atlantic market. The pipeline is 23.4 miles long, with the throughput capacity in excess of 125,000 barrels per day and linked to Delaware City Refinery to The Sunoco Logistics North East pipeline system and Buckeye's Laurel pipeline. The Truck Rack is a 15-lane loading rack with a capacity of 76,000 barrels per day. In their first full year of operations following the closing of the potential acquisition, the products pipeline in Truck Rack are expected to contribute approximately $14.3 million of EBITDA, this pending acquisition would allow us to increase partnership distributions in the future and further diversifies our earning streams. Regarding our performance during the quarter, we are pleased with how our assets operated. The Toledo Truck Rack is charged 6300 barrels per day during the quarter. The Delaware City West Rack is charged 37,200 barrels per day, while the Delaware City Light crude oil facility or Loop Track unloaded 48,800 barrels per day. The Toledo Storage facility operated as expected and the Propane facility loaded 4100 barrels per day. Given current market conditions, we expect the Delaware City Rail facilities to operate at a lower capacity in Q2 of 2015. However due to the take-or-pay contracts that are in place, there would be no adverse effect on PBF's excess EBITDA relative to the guaranteed volumes. PBF Logistics has the primary objectives of maintaining safe and reliable operations in an environmentally responsible manner generating stable fee based cash flows and growing distributions to our partners. We currently provide bulk storage services, LPG truck loading services and rail and truck crude oil unloading services for which we charge a fee and require a minimum quarterly volume commitment from our customers, who are currently refineries owned by subsidiaries of our sponsored PBF Energy. Our sponsor today announced that it has increased its backlog of MLP-qualifying EBITDA to $200 million associated with assets that could be dropped down to PBF Logistics in the future. We’re pleased with PBF Energy continues to develop opportunities to grow the partnership through an expanding backlog of potential dropdown assets. Our continued goal is to expand our operations. This will be accomplished through continued dropdowns of logistics assets currently owned by our sponsor, dropdowns it may arise from our sponsor's potential refinery acquisitions, direct third-party acquisitions and the execution of organic growth opportunities. We recently restructured our management team to facilitate the focus on growth. We are actively identifying opportunities in the market and participating in acquisition processes. But we cannot provide details on these opportunities at this time because of the applicable confidentiality agreements. With that, I would like to turn the call over to our CFO, Erik Young.
Erik Young: Thanks Todd. This morning, we reported net income for the partnership of $16.7 million or $0.51 per common limited partner unit for the first quarter. We generated EBITDA of $20.1 million and had $19.2 million of cash available for distribution. Total revenue for the quarter was $30.6 million, total operating costs were $11.9 million including operating expenses, G&A and D&A and our cash interest expense was approximately $1.8 million. Our first quarter results included approximately $930,000 of non-cash compensation expense related to the company’s long-term incentive plans. Our total G&A expense of approximately $3 million includes these announced. We ended the quarter with approximately $20.2 million of cash on hand and $254.9 million of net debt which includes the value of U.S. Treasuries with the marketable securities on our balance sheet. For the second quarter 2015, we expect our revenues to be in line with our minimum volume commitments at all of our facilities. As Todd mentioned a moment ago, the Partnership's Conflicts Committee and their advisors are currently reviewing the potential acquisition of the Delaware City Products Pipeline and Truck Rack. The expected full-year EBITDA contribution of $14.3 million from these assets would be supported by 10-year term agreements with subsidiaries of PBF Energy containing minimum volume throughput commitments of 50,000 barrels per day for the pipeline, 30,000 barrels per day of green products and 5,000 barrels per day for LPGs at the Truck Rack. Annual maintenance capital expenditures are expected to average approximately $0.7 million in aggregate. We’re unable to comment further on this potential acquisition until the Conflicts Committee has completed its review. We’re pleased to announce that the Board of Directors of our General Partner announced a quarterly distribution increase of $0.02 to $0.35 per unit which will be paid on May 29 to unitholders of record as of May 15. As we continue to acquire assets whether from our sponsor or through third-party acquisitions, we would expect that our distributions will continue to increase as those assets are integrated. Operator, we concluded our opening remarks. And now we’ll open the call for questions.
Operator: [Operator Instructions] Thank you. Our first question is from Teresa Chen from Barclays. Your line is open.
Teresa Chen: Good morning. Related to the EBITDA guidance for this announced dropdown, is that $14.3 million fully based on the NBC you laid out or is there assumption that the volumes would be about the NBC?
Erik Young: It is purely based on the minimum volume commitments that we just laid out.
Teresa Chen: Okay, great. And then in terms of - I know you’re reluctant to comment on the transaction but I will try anyway, can you provide some color on what we should expect in terms of how we would plan to fund a potential dropdown whether it would be this one or whatever comes next will be mostly equity since last two were funded with substantial amount of debt?
Erik Young: Its very difficult for us to comment on exact details but I can say that if you remember we provided a leverage target in all of our public filings. So all of our Presentation show a leverage target of between three and four times. So I think I would use that primary metrics as kind of a governor or a limiter if you will on what we can do in terms of debt as we go forward.
Teresa Chen: Okay. That’s very helpful. And just broadly speaking, when do you expect this to close if it is approved by the Conflicts Committee?
Erik Young: Again tough for us to really comment in terms of timing, all we can really say at this point is the Conflicts Committee has been engaged and they’re working through the process.
Teresa Chen: Understood. Shifting gears moving towards the announcement of the $200 million dropdown inventory at the parent, can you just provide some color on the nature of the assets and specifically do you think that these assets would have the same kind of fee based minimum volume commitment contracts with the MLP once they’re dropped out?
Erik Young: Sure. We outlined a little bit of detail and we don’t tend to just as we’ve gotten with the existing assets that we’re in kind of that historical call it nominally $100 million to $125 million of backlog that sits at the parent. With this incremental volume that gets to total up to $200 million, we’re basically including a combination of things that we weren’t comfortable at the time of IPO of quantifying for the market. Since then we have confirmed that they all will generate qualifying income but use the assumption that is the combination of fuels distribution business, some chemicals businesses that we own as well as some lubricants manufacturing operations. So assume to that I think going forward, the parent or sponsor is comfortable finding up the minimum volume commitments, we tried to keep things relatively consistent as we’ve done dropdowns in the past. So I think it’s a safe assumption there would be some type of guarantee from the parent in terms of volume as we go forward.
Teresa Chen: Thank you very much.
Operator: [Operator Instructions] Our next question is from Praneeth Satish from Wells Fargo. Your line is open.
Praneeth Satish: Hi, good morning. Just a follow-up on that last question, I guess maybe it’s too early but the NBC is that you potentially would that the parent would sign up for on the fuels distribution chemicals, lubricants. Would that still be a 10-year term length or could it be shorter because of the nature of the assets?
Erik Young: Again I think it’s still too early to really tell, we’re not in a position at this point because we haven’t put anything forward to either the PBF Energy Board or the PBF Logistics Board of Directors. Still too early to say but I would assume that there would be some combination of long-term agreement with minimum volume commitments.
Praneeth Satish: Okay, great. And then I guess this quarter distribution growth was higher than our expectations 17% versus what we thought would be I guess low double-digits and you have very robust coverage in Q1. Is the plan going forward, I guess in the near term is it to have more robust distribution growth or maybe trickle that down back to a low double-digit rate and basically grow slower before longer period of time, any comments you could provide there would be helpful?
Erik Young: Sure. We understand and appreciate that we have very high coverage at this point and a part of that is driven by the fact that we really have used since inception our revolving credit facility as a financing tool. Obviously, that is really not a long-term cap structure, so we’ve said in prior calls and in prior meetings that going forward and I think most of Wall Street and the Analyst community has assumed some type of long-term borrowing rates. We generated some excess cash as a result of borrowing at a very low rate. So I think going forward assume that a long-term capital structure would be put in place that would ultimately reduce the amount of coverage that we have in place today with distribution growth that we have achieved thus far it has really been driven of the fact that we’ve dropped incremental assets into the partnership. So the partnership now has incremental EBITDA that can then generate cash distribution for unitholders. And I think given where the parent has come out in terms of increasing the overall backlog, we feel very, very strongly that it is easily achievable at the 15% plus distribution rate –growth rate over a long-term.
Praneeth Satish: Okay. Great, that’s all I have. Thank you.
Operator: We have no further questions at this time. I would like to turn the conference back over to Mr. Todd O’Malley for any closing remarks.
Todd O’Malley: The only closing remarks that I would have is thank you all very much dialing in to the call today and we appreciate your continued interest in the company. Have a good day.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.